Operator: Good morning. My name is Michelle, and I will be your conference operator today. At this time, I would like to welcome everyone to the Keyera Corp. First Quarter Results 2017. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] I would now like to turn the call over to Lavonne Zdunich, Director of Investor Relations. Please go ahead.
Lavonne Zdunich: Thank you, and good morning. It's my pleasure to welcome you to Keyera's first quarter conference call. Today on the call, we will have David Smith, President and CEO; Steven Kroeker, Senior Vice President and CFO; Brad Lock, Senior Vice President of our Gathering and Processing Business Unit; and Dean Setoguchi, Senior Vice President of the Liquids Business Unit. In a moment, David will provide an overview of the quarter, followed by an operational update from Brad and Dean. Steven will provide additional information about our financial results. We will open the call for questions once we complete our prepared remarks. Before we begin, however, I would like to remind listeners that some of the comments and answers that we will be providing today speaks to future events. These forward-looking statements are given as of today's date, and reflect events or outcomes that management currently expects to occur based on their belief about the relevant material factors, as well as our understanding of the business and the environment in which we operate. Because forward-looking statements address future events and outcomes, they necessarily involve risks and uncertainties that could cause actual results to differ materially. Some of these risks and uncertainties include general economic market and business conditions, fluctuations in supply demand inventory levels and pricing of natural gas, NGLs, iso-octane and crude oil; the activities of producers and other industry players, including our joint venture partners and customers; our operating and other costs; the availability and costs of materials, equipment, labor and other services essential for our capital projects; contractor performance; counterparty risk; governmental and regulatory actions or delays; competition for among other things business opportunities and capital; and other risks as are more fully set out in our publicly-filed disclosure documents available on our website and SEDAR. We encourage you to review the MD&A, which can be found in our 2017 first quarter report published yesterday and is available on our website and on SEDAR. With that, I'll now turn it over to David Smith, our President and CEO.
David Smith: Thank you, Lavonne, and good morning everyone. Keyera recorded strong financial results in the first quarter of 2017, even with an unscheduled outage at Alberta EnviroFuels. All three of Keyera's business segments delivered solid financial results, generating adjusted EBITDA of $148 million, compared to the $145 million reported in the first quarter of 2016. Distributable cash flow was $121 million, slightly higher than the same period last year, as our capital investments have expanded our infrastructure and continue to generate cash flow growth. With confidence in our strategy and the new capital projects coming into service, we have increased our dividend approximately 6%, effective for the May dividend, to $0.14 per share per month. This is our 16th consecutive dividend increase since going public in 2003, over which time our compound annual dividend growth rate has been 8%. Steven will speak more about our financial results later in the call. Looking forward, we will be bringing a number of projects online between now and the middle of 2018. And we continue to position ourselves for future growth. In the near-term, we expect our three major liquids infrastructure joint-venture projects to come online, followed by the Simonette gas plant liquids handling expansion and the Keylink NGL gathering pipeline system next year. These projects are great examples of how we are working with our customers to deliver the services they need in a cost effective way. With our strong balance sheet, we believe we can continue to deliver on this value proposition for both our customers and our shareholders. With that, Brad Lock will now discuss our Gathering and Processing business unit.
Bradley Lock: Thanks, David. The Gathering and Processing business unit delivered an operating margin of $66 million in the first quarter of 2017 and process gross throughput volumes of 1.4 billion cubic feet per day, 4% higher than the previous quarter. With the year-over-year recovery and commodity prices, we are seeing increased drilling activities in areas rich in natural gas liquids, including around our West Pembina, Brazeau River and Simonette gas plants. The capture area served by our Simonette gas plant includes the Montney, which is one of the most exciting place in the Western Canada Sedimentary Basin. We continue to see robust drilling activity around the plant, which translated into about a 5% increase in throughput in the first quarter compared to the prior quarter. The key to bringing these new volumes in to our plant has been our Wapiti pipeline system and the liquids handling infrastructure, all of which came into service in 2015. To support growing developments in the Montney and Duvernay, we are investing about $100 million to further expand Simonette's liquid handling capabilities. This project includes increasing our condensate and LPG storage capacity, enhancing our liquids recovery, adding new truck loading capability and enhancing our pipeline connectivity. Our goal with the project like this is to maximize producers' netbacks, and in turn provide long-term growth opportunities for Keyera. Assuming timely receipt of regulatory approvals and construction proceeding as planned. We believe that we will have this full project completed by mid-2018. We are also advancing work on the proposed Wapiti gas plant and associated gathering system. The site has been cleared, major equipment packages ordered, and we continue to negotiate with other producers in the area to commit additional volumes. The project is proposed to be built in two phases with phase one consisting of a 150 million cubic feet per day gas plant, associated gathering systems and an acid gas injection system. Phase two would add an incremental 150 million cubic feet per day of processing capacity and extend the gathering system. We will have - we have been working closely with our primary customer to keep phase one of the project on schedule. Thanks to this cooperative approach, if the project is sanctioned in the near-term, we should be on track to be operational by mid-2019. In 2017, we have maintenance turnarounds planned at our Gilby and Simonette gas plants. The Gilby turnaround is currently underway and should be completed within the next week. While the Simonette turnaround is scheduled to occur in August to align with expected restrictions on the TransCanada sales gas pipeline system. Simonette turnaround is scheduled for three weeks at a cost of approximately $13 million. I will now turn it over to Dean to discuss the Liquids Business Unit.
Dean Setoguchi: Thanks, Brad. We are very pleased with the performance of the Liquids Business Unit in the first quarter 2017, with solid results from both our Infrastructure and Marketing segments. Operating margin for Liquids Infrastructure was a record $65 million, up 5% over the same quarter last year, primarily due to contributions from volume growth through our industry leading condensate network as well as frac expansion at Fort Saskatchewan completed in May of last year. Looking ahead, we see the outlook for the Liquids Infrastructure segment as being very positive. Over the next several months, we'll be completing a number of large capital projects that we've been working on for the past few years. The Norlite diluent pipeline is fully constructed and will begin line-fill activities this month, the pipeline being operational shortly thereafter. Project is backed by long-term take-or-pay agreement with owners of the Fort Hills oil sands project. We're optimistic about the prospect of attracting additional customers to Norlite, and also opportunities to offer complementary services. South Grand Rapids diluent pipeline project between Edmonton and the Fort Saskatchewan area is progressing well, and is expected to be completed by year-end. This project will provide Keyera with additional diluent transportation capacity, to fulfill Keyera's commitments under existing long-term agreements. At the Base Line Terminal construction of the 12 crude oil storage tanks is well underway with the first four tanks scheduled to be commissioned early in 2018, and the remainder later that year. This project is fully contracted by eight customers with take-or-pay contracts up to 10 years in length. So far cost on these major projects are trending lower than originally budgeted. To add to this growth profile, we continue to advance work under Keylink NGL pipeline system, which will connect eight of our gas plants providing customers with safe, reliable and economically beneficial transportation alternative to truck and rail. The $147 million project is targeted for completion in mid-2018, subject to third-party consents and regulatory approvals. Turning to our Marketing segment, we generated operating margin of $68 million in the first quarter or $33 million net of unrealized gains. These results were affected by lower iso-octane sales volumes as AEF experienced an unplanned outage that began in mid-February. Repairs to one of the process reactors were completed over nine-week period. AEF returned to normal production rates in mid-April and is currently operating well at full capacity. Being responsible - or responsive to our customers, the majority of our propane will be purchased based on a Conway index price. With this pricing change - while this pricing change may result in greater seasonality for propane margins, particularly in the second and third quarters when demand for propane is seasonally low, we intend to use our storage infrastructure to build inventory in the spring and summer. This will allow us to increase the volume of propane sold in the winter months when prices and margins are typically higher. This pricing approach has allowed us to improve our competitiveness and ability to attract incremental volumes through our infrastructure, on a fee-for-service basis. With that, I'll turn it over to Steven, to discuss the financial results in more detail.
Steven Kroeker: Thanks, Dean. As mentioned earlier, we had a successful quarter with the integrated business, delivering steady results. Our performance is a reflection of Keyera's integrated value chain as well as our customer-oriented approach. At the first quarter of 2017, adjusted EBITDA was $148 million and distributable cash flow was $121 million, both higher than the same quarter last year. Our distributable cash flow per share $0.65 in the first quarter, compared to $0.68 in the same period last year. Net earnings were $0.52 per share, compared to $0.41 per share in the same period of 2016, largely due to unrealized non-cash gains associated with risk management contracts in the Marketing segment. Gathering and Processing segments results were solid, but $14 million lower than in fourth quarter 2016, largely due to a one-time accounting adjustment in that quarter of approximately $9 million, related to the collection of turnaround fees. The liquids Infrastructure segment delivered yet another record quarter, primarily driven by growing utilization of our condensate network, due to strong customer demand and increased fractionation volumes due to the expansion of our fractionator at Fort Saskatchewan last May. Marketing's results were solid even with the AEF outage, as iso-octane results in the first part of the quarter were relatively healthy and iso-octane inventory was sold. Also contributing to Marketing results were higher crude oil midstream margins, and lower railcar lease and storage costs. Looking to the remainder of the year, we expect incremental cash flow from the start-up of the Norlite pipeline and increased revenue, thanks to the expansion of our fractionator in 2016 and a successful contracting season for this upcoming marketing year. However, some volumes will be fractionated at lower fees compared to last year, given the highly competitive environment in Alberta due to the increase in local fractionation capacity. Marketing's results we expect will be tempered in the second quarter as a result of the unplanned outage at AEF and lower propane margins, which Dean talked about previously. Although the AEF facility was brought back online in mid-April and is currently operating at capacity, second quarter iso-octane sales volumes will be affected due to the time required to rebuild inventory levels and transport iso-octane by rail to regional markets across North America. However, demand for iso-octane typically increases in the summer months as driving activity and gasoline demand increase, which generally translates into stronger pricing for gasoline and iso-octane. As we continue to expand our infrastructure and value chain in 2017, we plan to invest between $600 million and $700 million, which does not include the proposed Wapiti project, which is still subject to sanctioning. We have a strong balance sheet from which to fund our capital plans. This is reflected in our net debt to trailing EBITDA multiple of 2.59 times. Our low 12-month trailing payout ratio of 62% and strong participation in our dividend reinvestment plans. Effective with the first quarter results, we also negotiated some amendments with our noteholders and lenders, with respect to our key debt to EBITDA covenant, to provide additional flexibility to manage our business, including large organic growth projects. In summary, the amendments allow us to receive credit for the foreign exchange hedging we had in place with respect to outstanding private notes. And our debt to EBITDA cap can be increased from 4 times to 4.5 times for periods of up to four consecutive quarters. That concludes my remarks. David?
David Smith: Thanks, Steven. As our first quarter results demonstrate, demand for Keyera's products and services continues to grow. And I am confident in our business outlook and our prospects for additional future growth projects. Commodity prices have strengthened over the past year and industry activity is gradually recovering. Our asset base is strong shown by our consistent results quarter-over-quarter during the lengthy industry downturn that we've experienced. The near term future is exciting as a number of significant capital projects come into service. And our long-term prospects are promising as we continue to work with customers on a variety of new business development opportunities. On behalf of Keyera's, Directors and Management team, I would like to thank our employees, customers, shareholders and other stakeholders for their continued support. We remain committed to our successful business strategy and committed to delivering long-term shareholder value growth. With that, I'll turn it back over to the operator. Please go ahead with questions.
Operator: [Operator Instructions] Your first question comes from Rob Hope from Scotiabank. Your line is open.
Robert Hope: Yes, thank you and good morning, everyone. I'm hoping we could start off on the G&P business and just Q1 results versus Q4 results. Just looking at the puts and takes there, would it be safe to assume that the volume growth that we're seeing in Simonette is largely take-or-pay and we're seeing volume declines in your other, I guess, more fee-for-service businesses? And then, I guess moving forward is there additional headroom on your take-or-pay commitments that will cause cash flow to increase slower than volume growth through 2017 and maybe into 2018?
Bradley Lock: Rob, this Brad. I think some of your comment is fair. Certainly, the volume that we've - growth that we've seen at Simonette is captured by new take-or-pay, but some of those take-or-pays actually grow as the time goes on. So I think the incremental volumes that we see there should –if they continue to develop will continue to yield incremental EBITDA. I think the thing that we got to remember is not all gas is the same. So in certain places, where you have - though you may have consistent gas volumes, the fees they get charged for various types of gas differ. And consequently, you will see some variability in the gathering and processing margins as time goes on, even though gas volumes may continue to rise.
Robert Hope: All right, and then just as a follow up to that, I guess, when we're looking at the individual plants, safe to assume that probably the larger more complex plants like Strachan will garner higher fees?
Bradley Lock: Generally, that is true. But the fees are still associated with the type of gas that's being processed. So certainly, as you expect our gas gets up charged up greater fee than sweet gas, as an example, because they require more complex processing.
Robert Hope: All right, great. Thank you for the answers. I'll hop back in the queue.
Operator: Your next question comes from David Noseworthy from Macquarie. Your line is open.
David Noseworthy: Thank you and good morning. So maybe just starting off with the liquids infrastructure, we continue to see strong results there. How do you see the second-half shaping up, I guess, absent the startup of Norlite and Grand Rapids? Just respect to growing oil sands production, but then we have the addition of competition in the form of some of the CDH facility, how are you guys thinking about that and what should we expect?
Dean Setoguchi: I think we'll continue to see - sorry, David, this is Dean Setoguchi. We'll continue to see strong results for our liquid infrastructure segment. And that's going to be driven by a number of factors. One, we had a pretty good supply season in terms of attracting more volumes to our facilities, in our frac and our rail racks. And we'll see that volume sort of ramp up throughout the year. We also have our Norlite pipeline that we just - were both put in line, fill into the pipe and it will be fully operational here later in the month. And on top of that, we do have our Fort Hills project and other services that we're providing to those owners. And again, we'll see more condensate moving through our condensate system between Edmonton and Fort Saskatchewan. Overall, know we do believe that that business segment is very strong and should continue to grow.
David Noseworthy: It's great to hear. And maybe just a follow up on that, you did mention that you had a good contracting season. I think also the commentary that there was a change in the hub you're using for propane purchases. What's the expected or is there any expected impact on margins and on those volumes going forward?
Dean Setoguchi: What I'd say is that each contract year we sort of evaluate where the market is. We want to be competitive with our services. And this year we changed our pricing mechanism for propane to be again more competitive. So I think in general, the margins on our marketing segment are going to be a little bit tighter, so perhaps a little bit lower and with more seasonality. As you heard, you know less income in the summer months, specifically related to propane, but little bit stronger in the winter months, because we'll be shipping out more propane in the winter than the summer than we did last year. The flip side of it is, is that we expect pretty good utilization of our fractionation facility and also our rail rack. So perhaps we've comprised a little bit on our marketing side to generate overall better margins corporately by making up for it on the infrastructure side.
David Noseworthy: Excellent. So a net benefit to the company? Yes. And then maybe just one last question. Maybe this is for you, David. We've seen a fair amount of consolidation in the energy and structure market recently. Keyera shareholders approved a new shareholders right plan yesterday. How do you think about Keyera's relative competitive advantage in this kind of post consolidated landscape? And what role, if any, do you see Keyera playing in the current wave of consolidation?
David Smith: Yes, David, good question. I think, Keyera has always been focused first and foremost on shareholder value growth, and we've been pretty disciplined focusing on the investments that would generate a good rate of return for our shareholders. Having said that, we are always looking at opportunities to acquire assets, and we've looked at corporate acquisitions too from time to time. And we just have to make sure that they make sense for the shareholder on a per share basis. So, and we will continue to look at it through that lens. You're right, a number of the companies that are in the infrastructure space have grown significantly in size over the course of the last year or so. And I think it's interesting that as an $8 billion company, we look a little bit small just as a result of some of that activity, but I think our focus is not going to change, and our strategy will continue to focus on adding value on a per share basis for the shareholders. We don't think by the way that we don't see any of the consolidation activity as being particularly a threat to us, I think, our core businesses are still very strong competitively.
David Noseworthy: Great. Thank you very much. Those are my questions.
Operator: The next question comes from Patrick Kenny from National Bank. Your line is open.
Patrick Kenny: Hey, good morning, guys. Wondering if you can just give us a bit more color on what happened at AEF, the repairs that were done, and then whether or not you see much risk in this type of outage happening again anytime soon.
Dean Setoguchi: Patrick, it's Dean. We were surprised, this is a unique issue to one of our process reactors, we have three of them. And the issue wasn't something that we looked at a lot of detail as part of our turnaround scope last fall, when we had our week turnaround then. And it's because, we deal with the manufacturer and they tell us about reported issues across like facilities around the world, so this was not one of them that was identified. So in the 25 years that that facility has been operating, obviously this is the first time we've seen this type of incident. So we do believe it's a one-off event, we really focused on safety and long-term reliability of the facility. So I think, we did very well in both accounts, and so today, the AEF is operating at full capacity, and we're very confident that we can rely - run it reliably going forward.
Patrick Kenny: Okay, great. And then maybe just back to the consolidation theme, but more so on the recent transactions between producers up in the oil sands. Just wondering, if - we can get your thoughts on any opportunities or challenges that the change in ownership might pose to your business, and also if you see any opportunities to participate in any gas processing divestiture opportunities that might stem from these transactions?
David Smith: Well, on the second point first, Pat, I think we - you're referring to the Cenovus acquisition of the ConocoPhillips lands. We're actually quite encouraged by that development, but the simple reason that ConocoPhillips has really one of the best land positions of any company in Western Canada, but they haven't really been investing and developing it very much over the last five years or so. So having a new owner that's going to be more focused on development, more focused on reinvestment, I think, is positive for us. A lot of that attractive acreage is in Spirit River and Montney and other zones that are very economically attractive, and it happens that a lot of that acreage is around our facilities. So from that point of view, we're encouraged. Obviously, we're going to be looking at the ConocoPhillips portfolio of infrastructure in case Cenovus is interested in divesting any of that. And then going back to the oil sands side of it with the CNRL acquisition, and the Cenovus acquisition, and the Athabasca acquisition, again, those from our point of view are all positive, because I think those are companies that have shown that they know how to produce the oil sands efficiently. And those customers are - those companies are all customers of ours in our infrastructure. So we're looking forward to continued growth and continuing to work with those customers.
Patrick Kenny: All right. That's great. I'll jump back in the queue, guys.
Operator: The next question comes from Robert Catellier from CIBC Capital Markets. Your line is open.
Robert Catellier: Hi, I just like to ask a little bit on the change on the propane pricing model, specifically, how you expect it to impact your hedging activity and the implications for rightsizing your railcar fleet?
Dean Setoguchi: Well, Robert, it's Dean. First of all, in terms of rightsizing rail, we do have the rail fleet to be able to handle a higher proportion of our term sales in the wintertime, and we do have the stores track that we've built at our Josephburg site to store our cars in the summertime as well, so we won't incur additional charges for that. So we do have the assets to execute on this plan. In terms of our hedging activity, as always, we certainly look to hedge our inventory to protect against falling prices. And we do hedge it on the same index, so we do look at Conway hedges primarily. And we will be doing that same thing this year. It's just that we'll be having more inventories, so we'll have more hedges associated with that.
Robert Catellier: Okay. And then, just moving onto your Montney strategy. So in addition to the Wapiti project or the Simonette liquids handling, what other initiatives and strategies are you pursuing to increase the company's presence in the Montney longer term?
Bradley Lock: I think - this is Brad. We continue to look at a variety of Montney plays out there in terms of growing our network. Certainly, it's an area that we like, it's an area that we've got a really good presence in today, and we've got a growth plan that allows us to kind of step into that. I think we're going to continue to mature those projects in a logical progression that are appropriately underpinned by producer volumes. And I think, we'll continue to go up and down that fairway to find places where we can invest capital that has a need in the industry. Certainly, as I look in the near Simonette and Wapiti area, that's going to be our focus area. We've got a history of interconnecting facilities and utilizing a network basis to provide services, and that's certainly a strategy that we're going to look at up there as well.
Robert Catellier: Okay. And now it's still obviously very early days, but I'm wondering, if there's been any more thought to how you might put that newly-acquired land in Fort Saskatchewan to work. I think the MD&A does mention a possibility of additional caverns, but what other color can you provide?
Dean Setoguchi: Yes, Robert. It's Dean. All I can say, I guess, at this point is that, we are looking at a number of possibilities of what we can do in that land, but I think the specifics at this time would be premature. But we do see, obviously a lot of potential of what we could do there based on the access to both rail lines, the availability of - and our ownership of the salt rights under most of that land. And also the connectivity that we already have to the Josephburg lands, which are just to the southern portion of the - adjacent to the c lands we just acquired.
Robert Catellier: Okay. So it's still a bit early. Okay, thanks.
Operator: Your next question comes from Andrew Kuske from Credit Suisse. Your line is open.
Andrew Kuske: Thank you. Good morning, guys. I think the question might be for Dean, and it just relates to the NGL infrastructure side of the business, and maybe just some thoughts on the standalone economics when you have your projects like Grand Rapids Base Line, Norlite. And just the standalone economics and then the multiplier effect that it can have through your network is obviously as you increase connectivity, there's a bunch of other opportunities that sort of cascade out of that. So how do you think about both of those sides of the opportunity?
Dean Setoguchi: Well, first of all, it relates to our condensate system, I mean, we certainly believe we have the industry leading condensate system, so the more of the assets that we connect to that system, it just makes it stronger, and it helps us attract more volumes and - into that system. And obviously, we were able to generate more margin overall. And Norlite is also a good example of that as well. We certainly believe that we can add more customers and volumes to that system. And with that, we also believe that we can also provide other services between Edmonton and Fort Saskatchewan including storage and on our condensate system. So every asset that we had - and I'd also throw in the condensate tanks that we're just completing right now at Edmonton, our Edmonton terminal. All of these assets really enhance our system to make it even better and stronger as we move forward. So that helps us to continue to attract more business through entire system.
Andrew Kuske: So then just a follow up, when you look at an individual project, and like any of those projects just on a standalone basis, are you looking for sufficient returns over your cost of capital on that project, just on a standalone basis? And then, you don't consider the multiplier effect of just enhancing the network and the incremental margin opportunities. That's a sort of separate issue and effectively value enhancing.
David Smith: I would say, for most of our assets on the infrastructure side is that we have at a very minimum a base level of underpinning and that we're happy with the sort of the return on capital it will generate. But the confidence is that, with the strength of the rest of our assets, we will be able to attract more volumes over time to enhance those economics. So hopefully, I'm answering your question, but…
Bradley Lock: I think the answer is generally yes. The investments that we would make, and I'll use Norlite pipeline as an example, we expect them to stand on their own with the volumes and tariffs that we earn on that asset on its own. But Norlite, obviously, as we continue to attract new customers to that asset, it generates additional opportunities for us within the Fort Saskatchewan condensate system and within our storage to generate additional income from handling those barrels within the hub.
David Smith: Something like baseline would be a little bit different, where it's fully contracted already. And we're quite happy with the rate of return that we expect to generate from that project. And if the capital costs actually come in lower than what we expected in our economics. We'll benefit even more.
Andrew Kuske: Okay. That's great. Thank you.
Operator: Your next question comes from profit Robert Kwan from RBC Capital Markets. Your line is open.
Robert Kwan: Good morning. Maybe I can just go back to the propane supply changes. I thought previously you had made comments though that, under the netback pricing-model, that the margins from what you were doing on propane were pretty small. So when you're saying directionally it could be smaller like is it that material to the overall company?
Steven Kroeker: I'll take this one, Robert. I think, clearly, there's been a couple of questions on this subject. I think overall I would say it's not - we do expect the propane results year-over-year are likely going to be softer. I think the more important factor is just the seasonality that we expect. Clearly, what our customers were looking for was a more transparent propane price space. And the Conway index is a much more quoted index than the Edmonton pricing that we were using over the course of the last few years. And so, the customers were looking for a little bit more transparency on the Conway price, and we were responsive to that. It doesn't really change our risk profile particularly, because Conway is the basis for most of our sales and is the basis for most of our hedging anyway. But what it does do is it creates more of a - it will create more of a seasonality in the business as we use our storage and rail infrastructure to accumulate more storage during Q2 and Q3 - accumulate more volume in storage during Q2 and Q3 and then selling it seasonally to the highest value markets during the winter.
Robert Kwan: Got it. May be an extension of that, there's a comment in the MD&A that you expect marketing this year, the margin, operating margin to be lower versus 2016. One of the things was kind of this new procurement. I guess, I'm wondering, first, what's the basis for the comparison? Is it the operating margin inclusive of the unrealized mark-to-market or is it after that? And then, second, would that statement still be true if the propane contracting strategy had been placed for the full year, i.e., you're losing what would be seasonally pretty big Q1.
Steven Kroeker: There are a number of factors there to address Robert. I think - first of all, I think the comment really is inclusive of both the propane effect as well as the iso-octane, the AEF outage in - that will affect Q1 and Q2 of 2016. And I think when we - when we look at the overall business, we tend to focus on the realized margin in marketing. The unrealized is really just that just creates timing differences between the quarters. So we - internally we tend to focus on it on a realized basis when we're looking at it.
Robert Kwan: All right, so that comment in the MD&A is versus the realized margin for 2016?
Steven Kroeker: I believe so.
David Smith: Yes, yes.
Robert Kwan: Okay. Maybe just the last coming to Wapiti, you mentioned incrementally I think versus the last quarter some specifics around site clearing and major equipment being ordered. I'm wondering how much capital has gone out the door and should we look at that type of activity as an increased confidence from your guys' point of view that the project will move forward?
David Smith: I think the amount of capital associated with that to this point is certainly not material when you when you look at it from an overall Keyera capital dollar perspective, that we're spending in 2017. We continue to be optimistic on the project. We continue to focus on a first half of 2019 target. And we've worked with our primary customer to allow us to make investments to achieve that schedule kind of and maintain it while they go through their sanctioning decisions.
Robert Kwan: Okay. Maybe just last on Wapiti, is there a bit of an angle to optimize that plant with what you're doing in just the existing Simonette capacity given the fiscal tie between the two?
David Smith: Certainly, from a longer-term strategy side of thing that's exactly what we would want to do. The Wapiti plant is about - I'm going to say about 20 kilometers from the terminus of our Wapiti pipeline. And longer term, we would love to connect the two through gathering system and allow optionality to producers in terms of where they can connect gas to.
Robert Kwan: Okay. But there's nothing kind of in your general business case, so the go, no-go decision that you'd be factoring any of that in, kind of factoring earlier question, Wapiti needs to stand on its own?
David Smith: Yeah, that's exactly right. We see that as a nice step-out opportunity. Our goal right now is to get the Wapiti project off the ground on its own.
Robert Kwan: That's great. Thank you very much.
David Smith: Yes.
Operator: And this time, I have no further questions in queue. I turn the call back over to the presenters for closing remarks.
Lavonne Zdunich: Thank you. This completes our first quarter conference call. If you have any other questions, please feel free to give Nick or myself a call. Our contact information is in yesterday's release. Thank you for listening and have a good day.
Operator: Thank you, everyone. This will conclude today's conference call. You may now disconnect.